Operator:
David Brady:
James Hughes:
Mark Widmar: Thanks Jim and good afternoon. Turning to slide 12, I’d like to begin by highlighting just a few key financial and operational accomplishments achieved during 2012. Beginning with costs, we made significant progress in driving down our total installed systems costs. We exceeded both our module manufacturing and our balance of system cost reduction target of 2012 compared to our December of 2011 announced guidance.On a cost per watt basis, full year module manufacturing costs, excluding our German manufacturing plant and un-utilization declined approximately 11% versus 2011 to $0.66. And our exit rate cost per watt for our best plant reached $0.64. On a year on year basis, we reduced average standard balance of system costs by approximately 14% to $0.73. These improvements are a direct result of our continued investment in research and development efforts to improve module conversion efficiency as well as improve engineering, procurement, and construction techniques and a constant focus on operational excellence.We have the financial strength to continue to invest in our technology which we believe has significant upside potential and we believe our cost reduction roadmaps are less reliant on raw material and procurement efficiencies that are crystal silicon competitors. Although we are encouraged by the steady progress of reducing costs, we remain focused on continuing to accelerate our efforts and consequently will provide new costs and efficiency roadmaps during our Analyst Day in early April.Looking at sales and operations. From a sales and operations perspective, we accomplished key milestones during 2012, including surpassing 7GW DC of cumulative module production, enough to provide clean electricity for approximately 3.5 million homes and displace 4.7 million metric tons of CO2 annually. During 2012, we surpassed 250MWAC of grid connected power at Agua, making it the world’s largest operational solar power plant.Lastly, as we worked diligently to transition to our new targeted sustainable markets, we have recently completed the ramp down of our German manufacturing operations with minimal residual inventory and have executed our restructuring program within our announced cost targets.Looking at operating expenses. Operating expenses for the full year 2012, excluding restructuring were $421 million, down approximately 28% versus 2011. We worked aggressively throughout the year to operationalize cost reduction initiatives which as previously announced we’re expected to reduce our ongoing annualized costs by between $70 million and $120 million depending on the range of factory utilization and is expected to be split evenly between cost of goods sold and SG&A. Exiting 2012 we reached a quarterly run rate of less than $100 million while still substantially expanding our global footprint and maintaining sizeable investments in our R&D program.Looking at cash flows, we continued to strengthen our balance sheet position led by a positive cash flow. At year-end our total cash balance was over $1 billion including marketable securities. During the year, we reduced our long-term debt by $101 million, leaving a total debt balance of $563 million and a net cash position of $441 million. On a free cash flow basis we generated $330 million in positive cash flows during 2012 which is reflective of our progress in building out our advanced system project pipeline. Leveraging our balance sheet and project finance expertise, we have reached a significant milestone of facilitating of financing of approximately 2GW or approximately $9 billion of First Solar power plants in the form of debt and equity financing, including public and private bond markets, the Federal Financing Bank, and financial institutions worldwide which have a long history of supporting First Solar's bankable technology.Now turning to slide 13, I will focus on Q4 and the full year 2012 results. In Q4 our production was 512 megawatts, up 5% versus Q3, but down 5% year-over-year. The year-over-year decrease is reflective of our previously announced capacity reductions which were taken to better align our supply with market demand. Sequentially, the production increased as a result of slightly higher capacity utilization driven by increased demand from third-party module buyers. In the fourth quarter we ran our factories at approximately 84% capacity utilization up slightly from 83% in Q3. Q4 [net] demand was lower than previously anticipated as a customer in India was not able to finalize the necessary permitting approvals and has elected to cancel the project. Consequently, we took proactive measures to curtail productions to better optimize inventory levels.Note, as previously announced, the Frankfurt Oder manufacturing facility continued production through the fourth quarter and then was subsequently shut down permanently at the end of 2012. Our module manufacturing costs per watt for the fourth quarter excluding the German plant was $0.68. On a comparable basis, module manufacturing costs per watt increased $0.01 quarter-over-quarter due to the impact of various onetime items primarily related to the re-ramping of our KLM production lines. Excluding these onetime items and assuming our plants operated at full production for the entire quarter, our module manufacturing cost per watt would have been $0.66.Assuming full utilization, our best plant manufacturing cost during Q4 was $0.64 per watt, which on a year-on-year basis is $0.05 lower. Note, as previously communicated, these metrics include warranty, freight and end of life cost associated with the module which collectively impact the module cost per watt by $0.10. The average conversion efficiency of our module was 12.9% in the fourth quarter which was up 0.7 percentage points year-over-year and 0.2 percentage points quarter-over-quarter. Our best line in Q4 produce modules with an efficiency of 13.1%.Moving on to the P&L and portion of the presentation on slide 14. Fourth quarter net sales were a record $1.1 billion, increasing 28% quarter-over-quarter and 63% year-over-year. The sequential increase in net sales was primarily driven by increased revenue recognition for Topaz and increased sales volumes to third party module customers. As a percentage of total net sales, our solar power systems revenue which includes both our EPC and our solar modules used in our systems business, decreased from 93% of total sales in the third quarter to 87% in the fourth quarter due to a greater production of third party module sales.For 2012 net sales increased to $3.4 billion which is 22% higher than last year but it's slightly below our guidance range. The decrease relative to guidance is attributed to lower than planned third party module sales and to lower revenue recognized for certain system projects in Canada and the North East United States which were delayed due to weather and other temporary interruptions. The revenue for these projects which is based on substantial completions and financial close is now expected to be recognized in the first half of 2013.Gross margin in the fourth quarter was 27.3%, down from 28.4% in the prior quarter. The gross margin decline is primarily reflective of a less favorable mix of projects margins due to the declining impact of Agua Caliente as this project heads towards completion. The write-down of certain refurbished module inventory during the quarter was also a factor. The total margin decrease was partially offset by a credit related to lower estimated future collection and recycling cost.Note, regarding our module end-of-life program, beginning in the fourth quarter of 2012, we made prospective changes to our solar module collection and recycling program outside of the EU. For new contracted sales, customers as part of their overall power plant decommissioning obligation will now be responsible for ensuring modules that are either recycled or responsibly disposed at the end of their life.First Solar will offer competitively priced term-based recycling services to customers to help them meet these obligations. This change supports our ongoing transition to being a premier provider of adaptable solar energy solutions for our power plant customers.On a full year basis, 2012 gross margins declined 9.8 percentage points to 25.3% versus 35.1% in 2011. This decline is primarily attributed to lower ASPs and less volume sold through our legacy markets via module-only sales, partially offset by higher volume in gross margins on our systems business.Operating expenses including restructuring decreased $10 million quarter-over-quarter to $120 million as Q4 benefited from the impact of previously announced restructuring and cost reduction initiatives as well as a credit related to the change in estimates of future collection and recycling cost. As mentioned earlier, our year-end normalized exit rate for 2012 was slightly less than $100 million, excluding start-up, which is consistent with our prior communications.Note, as we move through 2013, this run rate may fluctuate from quarter-to-quarter as we simultaneously work to develop new sustainable markets and work to redeploy resources from legacy markets and continue to invest in technologies to support innovation and cost reduction.Consistent with our stated strategy, we’ll continue to focus on lowering general and administrative expenses in order to prioritize and internally fund R&D and sales marketing activities to facilitate market enabling growth. When we announced our restructuring activities we said that we anticipated between $385 million and $510 million of related charges. In 2012 total restructuring related charges were approximately $490 million with approximately $25 million occurred in Q4. The total amount of approximately $490 million includes approximately $170 million of restructuring expense and approximately $20 million of costs associated with the repayment of our debt for our German manufacturing center and the establishment of a deferred tax valuation allowance for our European operations. We also expect to incur up to $10 million of additional restructuring program charges in the first half of 2013.On a reported basis, fourth quarter operating income was $172 million compared to operating income of $107 million in the third quarter. Excluding restructuring, our third quarter operating income was $131 million and rose to $197 million in the fourth quarter. The increase was primarily reflective of higher volume and revenue in Q4. For the full year operating income, excluding restructuring and costs in excess of normal warranty, was $487 million compared with $596 million for 2011 excluding restructuring, goodwill impairment charges and the costs in excess of normal warranty.The fourth quarter GAAP net income was a $154 million or $1.74 per fully diluted share versus $1 per fully diluted share in the third quarter. On a non-GAAP basis, excluding restructuring charges of $0.30 per share our fourth quarter net income per share was $2.04. For the year the GAAP net loss was $96 million or $1.11 per share compared to a loss of $0.46 per share in 2011. On a non-GAAP basis excluding restructuring and costs in excess of normal warranty, our full year net income per share was $4.90, which was $0.20 higher than the top-end of our 2012 guidance range. The reconciliation of GAAP to non-GAAP numbers can be found in the back of this presentation.Turning to Slide 15, I’ll review the balance sheet and cash flow summary. As highlighted earlier, cash and marketable securities increased to $1 billion, up from $717 million at the end of Q3. Accounts receivable trade balance increased by $86 million quarter-over-quarter due primarily to higher shipments to third-party module customers. Our unbilled customer accounts receivable was essentially flat sequentially, but down by $132 million versus the fourth quarter of 2011. This year-over-year decrease was driven by the construction ramp of the Agua Caliente project in 2011 and subsequent billing and collection in 2012.Inventories, including balance of systems decreased to $129 million sequentially due to higher module shipments to third party sales and greater installations of modules and balance of system components. Project assets increased by $108 million as construction activity ramped for our Amherstburg, Belmont, Walpole and Maryland solar projects, which we anticipate to recognize revenue during the first half of 2013.Deferred project costs decreased by $10 million primarily due to continued revenue recognition for Topaz which was essentially offset by the continued ramp of construction on Desert Sunlight. To-date, we have not recognized any revenue for Desert Sunlight because all of the revenue recognition criteria have not yet been met. However, we are receiving cash payments for this project as milestones are achieved.Included in our other assets balance sheet account is approximately $270 million of retainage which represents the portion of a system project contract price earned by us for work performed, which are held for payment by our customer as a form of security until we have reached certain construction milestones. Such retainage amounts relate to construction work already performed but are non-current in nature as they are expected to be build and collected from customers beyond the next 12 months.Our debt increased slightly to $563 million versus $530 million in the prior quarter. Year-over-year total debt decreased by approximately $100 million, primarily due to the repayment of outstanding debt related to our German manufacturing facility which was closed at the end of 2012. Operating cash flow for the quarter was $328 million and free cash flow was $253 million. Full-year 2012, we generated operating cash flow of $762 million which includes restructuring payments and charges in excess of normal warranty of approximately $120 million. During Q4, capital expenditures continued to decline totaling $40 million for the quarter. This expected decrease is reflected in the completed capital commitments related to previously planned capacity expansion. Full-year capital expenditures were $379 million, depreciation was $61 million compared to $66 million last quarter.Moving to slide 16, I will now cover the guidance portion of today's call. Although there are some signs of improvement in market fundamentals we expect that throughout 2013 general market economics are likely to remain under pressure due to excess supply with many weak competitors continuing to be propped up by sovereign and local governments. However, we are somewhat buffered near-term against these headwinds due to our captive pipeline, which also provides some underlying visibility to our 2013 outlook. Notwithstanding this, we are in the midst of working to book our remaining volume targets and are also evaluating, negotiating and developing a number of transactions or market opportunities, which if transacted could materially impact our 2013 guidance.Consequently, we have decided to only provide guidance for the first quarter today and then follow up with full-year 2013 guidance during our Analyst Day in April when we'll have better visibility on the full year. The outstanding items for 2013 will primarily impact the second half of the year. As we look at the first half of the year, we see financial and operational results improving from Q1 to Q2. Moreover, we anticipate that first half results will be stronger than the second half of the year as Agua and AVSR essentially completed by mid-year. Additionally, as we fill out the second half of 2013 bookings, we anticipate a larger portion of third party module sales in target markets as opposed to system project sales when compared to the first half 2013, which will also result in lower profitability in the second half of the year.Our first quarter guidance is as follows. We expect Q1 net sales in the range of $650 million to $750 million. Gross margin to range between 25% to 27%. Operating expenses of $95 million to $100 million. Operating income to be between $90 million and $100 million. Our Q1 tax rate is expected to range between 13% and 11% including a 3% reduction from a onetime discrete adjustment for the extension of the 2012 research and experimentation tax credit that were enacted in January 2013. Earnings per share of $0.70 to $0.90 per fully diluted share, and cash flow provided by operations to range between zero and $100 million. Note, the first quarter cash flows will be impacted by the timing of our annual bonus payment, restructuring and project development payments. And CapEx of $80 million to $100 million which is reflective of the commencement of an accelerated schedule to upgrade production lines with technology advancements developed by our internal R&D team, which are expected to improve the best line module conversion efficiency by approximately 1 full percentage point over the 2012 exit rate.Now moving to Slide 17, I'd like to summarize our progress this year. During 2012, we continued to demonstrate progress in executing on our long-term strategy and expanding our global presence with the addition of multiple geographies to our portfolio of sustainable markets. We continue to make great progress on cost reductions on all fronts, including module, BOS and OpEx, and our R&D team is driving fundamental technology advancements and we’ll provide a more detailed update during our Analyst Day in April.We continue to have one of the strongest balance sheets of the industry, driving bankability and confidence with our customers and have facilitated the financing over $9 billion of debt and equity financing on approximately 2GW of solar PV projects.With this, we conclude our prepared remarks and open up the call for questions. Operator?
Operator:
Vishal Shah – Deutsche Bank:
James Hughes:
Operator:
Stephen Chin – UBS Securities:
James Hughes:
Mark Widmar:
Stephen Chin – UBS Securities:
Mark Widmar:
Operator:
Shahriar Pourreza – Citigroup Global Markets:
James Hughes:
Operator:
Sanjay Shrestha - Lazard Capital Markets:
Mark Widmar:
Operator:
Brian Lee - Goldman Sachs:
Mark Widmar:
Operator:
Satya Kumar - Credit Suisse:
Mark Widmar:
Operator:
Joseph Osha – Bank of America Merrill Lynch:
James Hughes:
Operator:
Amir Rozwadowski – Barclays Capital:
James Hughes:
Mark Widmar:
Operator:
Ben Schuman - Pacific Crest:
Mark Widmar:
Operator:
Stephen Simko - Morningstar Equity Research:
James Hughes:
Operator: That does conclude our question-and-answer session at this time and that does conclude our conference call. Thank you everyone for your participation.